Thomas Borgen: Let’s begin. Welcome to this press conference, where we are going to present the financial results for 2015. I’d like to put our results into perspective little bit and I’m going to speak a little bit about how we look at the future and how we propose to organize ourselves in view of the trend and future outlooks and I’ll end by saying something about expectation for 2016. Now, if we begin by looking at the macroeconomic picture, there’s no doubt that 2015 was a difficult year for world economy, but it was divided into two in the sense that some economies did well, which you can see at the top right hand graph, the American market especially, and other developed countries had progressed in employment and their market as well. Whereas, other developed economies had difficulties. We saw an overall lower growth worldwide in 2015 and in 2014. But if we look forward, and if we look to 2016, we believe in growth in the world economy. We had growth in 2015 on 3.1% and we expect 3.4% in 2016. That’s the level of IMF predictions. But we still expect this division into two; that is the advanced economies will still be stronger, whereas we are more uncertain of developments in growth economies. And further, we expect a stable but moderate and also somewhat bumpy growth. However, we should expect risks to be decreasing. The United States will have growth about 2.5%, whereas Europe is expected to rise from 1.5% in 2015 to 1.8% in 2016. China especially is a factor of uncertainty in 2016, how strong will their downscaling of growth be; and of course, other developed economies, which depend on raw material prices are rather uncertain, especially the price of oil has created a great deal of uncertainty in some countries and in financial markets. So we are aware that there may be some negative feedback from the financial market into real economy. But at the general level, it’s a positive thing for the world economy and especially for Europe to have the oil prices. If we move a little bit closer to home, it’s obvious that the more relaxed monetary economies have been useful in their markets as well and we see indications of progress in Danish economy. In 2016, you can see from this graph that we have seen a growth in employment of 60,000 units from 2013 to this year. And we expect a further 60,000 growth until 2018. And if we look at consumer spending, you will see that there is some fluctuation from quarter to quarter, but we have an overall good increase. And also disputably income in Danish households seems positive. However, we also see that the investment level in businesses in Denmark is at a rather low level. Now, if we look to some of the other factors, depending on monitory economies in Europe and Denmark, we’ll see low interest rate in 2016 and probably also towards 2017. We need to understand something which is well-known that these low interest rates have an impact on the way businesses and private actors behaves, so there may inflated prices, which are not viable over time. And all actors must be aware of that and must act wisely and keep an eye on this. It’s important also to understand that if you borrow DKK 1 million today after tax that will cost only DKK 650,000 to DKK 700,000, which is also the reason why the willingness to borrow is very high. And we need to be very much aware of this in this market. Now, looking at results for 2015, we had a very strong financial result in spite of what we call moderate growth or low or negative interest rate. It’s just the strength of our broad and deep business model, both in terms of geography, customer segment and products. If we look at the items one by one, we have a top-line at about the same level as in 2014, but it’s composed in a slightly different manner. We can see that the net interest income has dropped by 4% and this is simply due to the negative interest rate, which was introduced in the beginning of 2015. Actually, the deposit margin of 2015 compared to 2014 has cost us more than DKK 2 million. However, we have seen a much larger activity with our customers, a lot of refinancing in the first quarter of 2015; 55,000 customers had refinanced their mortgage loans to new lower interest rates. Also, we’ve seen a large activity in capital markets. Many customers are now into share investments because of the low interest rate. And we see a pretty low interest in general in C&I trading income. There’s a growth of 4%, but actually underlying basis of 22%. If we look at 2014, we had net trading income much in the row. We had good results in the first quarter and we did okay in the second and third quarters. And the fourth quarter was very much impacted by the activities of very large customers. We see that we have a 6% increase overall. Now, if we look at our expenses, we have a 4% drop from 2013 to 2014. And 2014 to 2015, we have constant drops in several areas. We are de-bureaucratizing our bank. We are simplifying our operations and we are very cost conscious and will be so in the future. That’s very important for our ability to be competitive to serve our customers in the future. We reflect the conditions of our customers and our customers are doing much better today than yesterday and then they did in 2013, when they - this is reflected also in our impairment account, we have actually a zero result. This is a trend which has been going on for the past 16 or 20 quarters, but of course, this is really at an extremely level now. We believe that in the future we’ll remain at this low level at the global European and Danish level. People are doing well, but we are at a very low level, which will not be sustainable over time. We must expect some losses. Now, looking at results proper, we delivered DKK 17.7 billion without impairment for goodwill and if we calculate impairment or goodwill, we have something - DKK 13.1 billion and we expect a 11.6% rate, which is a good progress on ROE before goodwill compared to 8.6%. If we look at the trend ROE and shareholders’ equity, we had a result of 17.7% as a record, which was the highest ever. And the result of this was that we have a much stronger capital today than ever before. We have twice as much capital in Danske Bank today compared to 10 years ago, and our capital coverage is 2.5 times stronger than the situation in 2005. So we are very strong and we have this very, very strong capital basis. And on - in that light the Board of Directors is going to propose to the general assembly to pay out a dividend of DKK 8.0 per share in 2015, that’s an increase from DKK 5.5 in 2014, at an increase also in the percentage delivered from 43% to 46%. This is within our dividend policy, we pay approximately 50%. But on top of this, increased dividend and because we have this very strong capital pension, the Board of Directors is proposing a share buyback program in two days for a total of DKK 9 billion in 2016. And again that is next based on the fact that we have more capital than we need to operate a solid bank in view of the expected growth. So these - so if we got DKK 8 billion and DKK 9 billion, we pay almost our total profits back to our shareholders. Now, if we look ahead, the individual results for the individual units, they got triggered in an excellent manner to the progress for 2015. If we look at personal banking, this is a very strong result, but obviously personal banking especially is impacted by negative interest rates, because we have protected, so to speak, our customers against negative interest rates, when it comes to their savings. Also we’ve seen a large activity and especially in the first half of 2015. And now, I’ll go back to this later, but we have had a really enormous increase in customer activity in the Nordic countries and in Denmark, and great customer satisfaction in all markets. Business banking, we’ve had a strong result as well. We’ve had growth in all core markets and we have had an increased market share, and we’ve had a good increase in customer satisfaction, almost all markets, corporates and institutions had a good year as well; good results, slightly less increase in return on capital, but still will then - what we expected and planned compared to 2014 and 2015. But this type of business activities requires I think more capital basis, because of new regulation than what was the case earlier. But we’ve had an enormous increase in trade activities and we are now number one, when it comes to customer satisfaction in the most important parameters. Now, Danske Capital, yet another year with a good increase of 17% on profit before tax and goodwill. And this is because we had a very good return on our products, and our customers give us possibility of managing them well with a good result. We’ve been named the best in equities in Denmark and 71% of our investment product delivered a return above the benchmark. This also means that the performance fees in the earlier quarters have been very important. If we look at Danica, we have a result of about 6%, but we see a decline in net income due mainly to lower investment return and low extraordinary income recognition from the shadow account. So if you take a step backwards and look at the overall picture, we are pleased to report that we have achieved all our financial targets, all the targets set for 2015, when it comes to return on equity, when it comes to improvement in ratings and our capital situation, and our total capital ratio, and not least, concerning our dividend payout. Now, what’s important now, is that we move on in this direction, and it’s clear now that our goal is to deliver 12.5% return on equity not later than 2016. One place where we are not quite there, but where we had a great improvement, is customer satisfaction. We are going into right direction. And in one segment we are - well, we’re supposed to be, that is the corporates and institutions, we are number one. It moved up. In corporates and institutions, we have a large activity and we are number one in customer satisfaction. So a real great piece of work has been done here. We have very satisfied business banking. Here too we’ve seen progress in many areas. And compared to last year, we’ve seen progress in almost all areas, but however, we have had setbacks in Norway, where in 2014 we were number one and Sweden was at two now. However, we are between number one and number three in Norway. But we ended in a third place in Norway and it’s our ambition to change that in 2016. Personal banking, we’ve never had higher customer satisfaction anywhere, not even in Denmark. We’ve moved in Denmark from a fifth to a fourth. But we are not still on target. Our ambition is to move closer to our target. We’ll see how we’ll do, but with the commitment, the enthusiasm and the great work done in Danish organization, we expect to get there. In Norway, we’ve seen progress as well. There too we’ve been close to a first place, but now we’ve slipped back to a third. So we have some way to go to improve our results there. However, we have very good results in other markets. Now looking at geography, we have good progress in all our markets. Sweden, a market where especially the business market has grown well in 2015, and also in the personal banking market we’ve created a basis of future growth. We have been nominated Bank of the Year for personal customers for 2015. But we need to understand, however, that Sweden may have an overheated market. So we need to expand in a prudent manner. In Norway, we’ve had a huge increase in the personal segment and also in the business segment. And we expect good growth in 2016. But also in Norway, we need to be aware of the fact that Norway is an oil-based economy and there may be setbacks, because of long-term low oil prices. However, the Norwegian economy seems to be fairly robust. Finland has been a challenging market for some time. We’ve been losing market shares and the Finnish economy has been challenging. However new, how it seems, that the Finland economy has stabilized. And we see good progress and we expect good progress. And the growth in GDP of 0.6%, 0.7% in 2016 and we seem to have a good basis to take advantage of growth in 2016. Customer satisfaction especially on corporate clients is very good. So we feel that in all Nordic markets, we have a strong and solid position looking at 2016, and not least towards 2018. We decided to make Northern Ireland into a separate business unit in 2016, because the synergy between banking in Northern Ireland and England is something quite different from banking in Nordic countries. So we’ll have more autonomous operations and reporting than what we’ve had historically. But we are very pleased to see strong progress in Danske Bank in Northern Ireland. As a consequence of the fact that English economy and the Northern Ireland economy is improving, property prices are increasing again. We have a strong position in Northern Ireland. Our Northern Ireland had a market share of about 30% in the business segment and about 20% that were private customers, so we have a strong position. And this is also very much in line with our plans for developing the bank in the future. We have spoken about the fact that we decided to establish a new wealth management unit, where we in our Danske Capital, Danica and some of our Private Banking units, basis for this is that, we see that wealth accumulation, the accumulation of savings will be a growth market within the coming years in the Nordic countries. And we see that we have a very solid point of departure, but we can become even stronger by merging these three units. We believe very much in this field and we see a great potential here. And we see Nordic economy will create more wealth and give people a greater possibility of saving. So we expect a great deal from this area in the future and we will begin seeing results in the autumn of 2016, but especially from 2017 and looking further ahead. We had a busy year. We’ve worked hard to make sure that we keep developing good solutions. Good products and new products for our customers, both in the corporate market, in the institutional market or Danske Capital or Danica private banking or the personal banking area. In all these fields we’ve been working hard, because great changes are happening. Among our customers, we’ve seen great changes in society and we have a point of departure with our size, our breadth and our depth, which allows us to be leaders in product development. We feel that we are now moving forward. We are doing well, but we need to keep working on this, because we want to be the market leader when it comes to innovative solutions. This is about how we serve our customers. It’s also about the products we deliver. It must be easier, more efficient, more intuitive, and our products must be based and supported by good counseling. We must not undervalue how important it is to maintain what we call good classic banking competences; our customers can get good advice in small matters or large decisions in their life. So it’s a combination of technical solutions and good solid counseling. We believe that these five trends will drive change in the future. I mentioned that we in the financial sector will always be a reflection of the economies in which we work. We believe that we must prepare for relatively moderate growth and low interest rate level for comparatively long time. And also, we must prepare for the dangers of high volatility in the markets. There is some uncertainty in the financial markets and especially [raw DD] [ph]. It’s a matter of the American monetary policy not least and we must look into that. Also we see that customer expectations are growing. They expect more and more from the financial sector or must be able to react faster. We must be more accessible but be easier; less expensive, but we must offer more competences to our customers. We need to react and we are working on this also. People want more digitalization. And we must be available 24/7. Third trend is that there will be new actors in the market, new competitors. The business is developing, is becoming broader. We see new actors on the playing field. We can learn from them. And we must understand that they may intrude into our arena. We believe that this will be good for our customers, but it also means that we must be even more aware of how our business model should develop as a consequence of this very fast increasing utilization. Anything that can be digitalized will be digitalized, that’s accretive. But it also means that all this digitalization will challenge the business model of some of our customers. Because of digitalization, artificial intelligence, nanotechnology and - we’ll see an exponential development here. Regulations have been a very strong factor since the financial crisis and it will be so in the future, but we need to be able to handle this. We need to understand that regulations have a macro-perspective attached to them. So it will be wise from time to time to take stock of the consequences of the ongoing regulations, which have been taking place. This is not unique. These five trends are overall and we have decided that we are going to respond in these four directions, these four strategic themes are important for us. First of all, we have managed to focus very much on our customer experience. We’ve never had higher customer satisfaction levels than in 2015. But we are still not on target. There’s still a great potential for improvement. We’ve had an increase in the number of customers. However, we’ve had some setbacks in Denmark, where we’ve lost about 17,000 customers in 2015. On the other side, that’s a much smaller loss than what we experienced in 2014 and even smaller than in 2015. We’ve had net growth of 3,000 to 5,000 customers with basic accounts. But we need to keep adapting our organization, focusing on customer experience. And we are on the way. And we believe, as I said that anything that can be digitalized will be digitalized. And we need to have a leading position in that field as well to make things easier for our customers. But we also want to challenge our own business model, where it’s right to do so and where we can see that other business models are better for our customers. This is one of the most demanding things for an organization of our size and with our history. But we feel that we’ve been doing well in 2015. We’re doing well and challenging more and more business areas. And we will be doing so in the future, where we’ll find new ways of servicing our customers. We see a great potential in being the Nordic national bank. We have a good platform in all our four markets. And we must use that platform to develop our customer experience further in a balanced way, in a sustainable way, which would also give a good return to our shareholders. And we must use synergies to the fullest. Finally, last but not least, we believe in deep competences. It’s still very important, very relevant for the financial sector, but also we must make sure to attract and develop new types of competences, a more agile and more dynamic and more disruptive technologies. We must learn from those 10,000 to 12,000 new financial technology companies in the world. But if we are able to combine the agility and the dynamism of new companies with our depth and breadth and experience in history, I believe that we will really have an amazing model, which will enable us to create value for our shareholders and our customers. We are humble in the face of this task, but also we believe that this will give us a good basis for delivering a good return for our shareholders, which in the short perspective will be 12.5% not later than 2018. If we look the short-term outlook for 2016, that is we expect to deliver net profit in line with the 2015 level. This result will be somewhat nuanced, if we look at the interest. Net profit, we must plan for certain narrowing of the margins. But on the other hand, we will see an increase for other sectors or refinancing a bond in the financial markets, for instance, and other types of growth. Risk, if there is a risk it’s that the interest net level will be somewhat higher than what it was in 2015. Looking at fees, we expect that the underlying growth in 2016 will be slightly - will be about the level of 2015, whereas refinancing fees cannot be expected to be as high as in 2015, because we had this very high level of refinancing in 2015, especially in the first quarter. Trading activities are always difficult to predict. That’s a consequence of market developments and that’s, but not least, we expect Danica to have a result just about the level we’ve seen. For 2015, we expected lower costs. We find it very, very important to be very efficient in order to be competitive vis-à-vis our customers. So costs will be reduced even further in 2016 compared to 2015. Losses and reserves, we had a very low level of our impairments in 2015. And we expect that for 2016, but again that will depend on the overall economy. For non-core, we expect good results. And this, sum of all this is that we can expect a result more or less in line with the net profit we had in 2015. So that was a presentation of our result for 2015. And now is up to you to ask any questions, if you have any. I just like to remind you that the microphone is next to your chair, so if you will use those, please, that are enabling to hear your questions, right.
A - Thomas Borgen: Okay. What was that? So, very clear…
Unidentified Analyst: Well, I was wondering about losses, you had zero losses and could you say something more about that, how much have you actually lost and how much have you carried back of your previous?
Thomas Borgen: Then, well, we’ve had an ongoing trend in improving our credit quality, and the economic development has been on the - has improved and also the collateral qualities, especially mortgages has improved. But if you look at the fact-book, you will see quite lot gross movements, but we’ll see some increased reserves, but we will have a narrowed-margin. And especially in Denmark, we’ve seen going back to 2015. And that is especially one business property, because our business, our corporate customers are doing better and the value of their property is increasing. So in that case we have a net carried back in 2015. Now, if you look at the private market, there too we have an excellent picture. We look at our private customers in 2015, and especially in the last quarters, that we see that they have a much larger ability of paying back their loans. And the value and quality of their collateral has increased. This is not necessarily sustainable, but right now the situation looks very well, but there’s nothing especially indicate that we will have large increases in losses in 2016. However, one sector that is having difficulties is agriculture, where we have made that provisions for 2016. We have quite a large account for that purpose. For management level, we’ve had set aside more than DKK 800 million for that purpose. Another area, where we have a collective result, that’s oil. We have identified no acute problems, but if the oil prices continue to develop as they have been developing there maybe problems, so if we look at the individual level things are looking good in almost all countries. But at the collective level, however, we are preparing. Yeah?
Unidentified Analyst: Now, you mentioned digital initiatives, but when do we expect to make money on those initiatives, especially MobilePay is what I’m talking about?
Thomas Borgen: Now, first of all, we must be very much aware of individual products, but we should also understand they are part of a combined value chain. We’ll have a complete digitalization at some point. And then we need to have all this in place, because digital solutions are very much customer-centric. It will reduce costs for the bank as well. MobilePay is a huge success. We have more than 2.8 million users and our statistics have shown an explosive increase in use. MobilePay, if you look at it isolated, it’s not making money for us, but there is no doubt that there is an earning potential there, which is very great. We see that it’s being adopted more and more in people’s working life. They use it over the net and they use it in the shops, the internet as well. And we see a great growth there. And we have high expectations for future earnings. And it’s being integrated more and more in the business systems of our corporate customers. So MobilePay is just one of many initiatives and that shows a huge potential for future earnings. And first and foremost, it’s a wonderful product for customers, which we are very proud. Now, there is no doubt that the payment area will be revolutionized. We’re not exactly sure where it will be bringing us, where it will be going; the new actors looking at this market as well. Someday that’s another service which allows our customers to search for the optimum home and get a credit approval immediately. It will give them a very clear impression of what they will be able to buy in very short notice. We have seen a very great development here. But also in the business sector, which is not so interesting apparently. To the media, we have a lot of interesting developments. So things are going on and we feel that we are the forefront, and we want to be at the forefront with digital solutions. But digital just by itself is not good enough, but so we also need deep and board competences. And we feel that this is a unique competition - combination which sets us aside from competitors.
Unidentified Analyst: William Eggleston [ph], Reuters. You talked about Northern Ireland being turned into a separate unit now, which will operate autonomously now. So could you explain how it makes sense for you to maintain your banking activities in Northern Ireland or is it for sale actually?
Thomas Borgen: No, it’s not sale. It’s not for sale. Northern Ireland, we have a very strong position in Northern Ireland. I mentioned market shares of 30% and 20% respectively for corporate and private. The reason why we have created this separate unit is that there is no real synergy between Northern Ireland. And in Nordic banking, we can however use the technological basis and our own operational basis there was great synergy still. And that will benefit both our Nordic companies and our Northern Ireland companies.
Unidentified Analyst: [Rubinger for FinanceForge] [ph]. Two questions; the first, you are now paying out almost 100% of your profit before goodwill and then 30% of net result. Now, Nordea has decided to pay out less than last year’s profit referring to future capital demand and risk-weights and so forth. So why do you feel comfortable paying out more money than you make? Now, one question. The other question was, you mentioned Norway, you said, great growth in lending and you have also been very active in Norway. But you explain, now, if you lend more money then why has customer satisfaction drop in business banking and personal banking?
Thomas Borgen: Now, the first question first. We have a dividend policy requiring us to pay at between 30% and 50%. And that level has been set in order to be sustainable and robust over time through our business cycles. Also, we have a capital goal. We want to be a solid and robust bank that at least 13%. But right now, with the prospect we’re facing we feel that 14% makes sense. Any excess capital above that should go back to our shareholders we say. And we have a robust and over capitalized bank. So it’s right for us to give some of that capital back to our shareholders. It’s not a goal by itself to do this. It’s a consequence of the fact that we have somewhat slower growth in the economy than what we desire and what we can pay back. So the share buyback is a way of adjusting the capital level. But it’s also the reason why we can have this high dividends policy and a sustainable capital base and adjusting the various elements ad-hoc as we move along. That’s the basis. The other thing, you asked about customer satisfaction. Well, there is no doubt that we were not satisfied with not being at the first or second place in Norway. We have been number one and two in various measurements. But, well, I will get back to that. But, I believe that we must understand humbly that growth may have been so great. We may have acquired so many customers that we have not perhaps been able to be there sufficiently for existing customers. Also a technical matter is that the shift, the difference between a first and third place is not really great. It’s an explanation. It’s not an excuse. We just need to go on working with this in the future.
Unidentified Analyst: Could I just to follow-up? You said that you have a goal of about 14% of [indiscernible]. But Nordea is at 16.5%, and they said, we don’t know what future capital demand will be. So we’d like to remain around 16.5%. Why do you know that you can maintain 14% vis-à-vis future capital demands.
Thomas Borgen: Well, first of all, it’s very difficult to compare capital condition from country to country, because they’ve very different ways of computing this in Danish, Norwegian, Swedish and Finnish banks. That’s one thing. The other thing is that we are working with the regulations. We know - and the capital we have today is extremely solid and it takes into account all known unknowns that is, [EFRAS #19 for #12] [ph] review it, the trading book, other factors in play. We’ll be looking at working with - keep looking at these factors. But that does not have a significant impact on our capital, just one uncertainty factor which is unnatural, that is, Steve, so called [BAL IV] [ph] discussion. And it’s difficult to set aside capital for something which we don’t know about. We don’t know the entity at this part of the eventual phasing in BAL IV may or may not lead Denmark to introduce a bottom ceiling that will have to do, however, with we guess, which we can cover very easily with our earnings. Also, we should remember that regulatory demands now at 10%. So we are already far above that level with our 14%, so a very strong capital position and good planning for the future. And we are making ready for adjustments in the first quarter of 2016. We are getting technical. It’s phasing in as I’ve said before. And we are going to adjust our credit models as a consequence of this discussion with our - with the financial authority. Say, yes, back so we have taken all that into account and we are still extremely solid. And, somebody is speaking without a microphone, unfortunately. Right. Let’s move on. We are getting our session to close. Just one last question.
Unidentified Analyst: Just follow up on MobilePay, this great success and contact with lots of uses much more than you have customers. So you must be thinking about how you can make money on this. To begin with, you talked about letting people pay to use MobilePay, but that has been drop again. You about depositing some of the money you received, transfers, to make this into a business. So what are your thoughts? So I assume that you want to use MobilePay to make money somehow.
Thomas Borgen: We have never talked about letting people pay for using MobilePay. People have been speculating about this, but we have never had that intention. The second thing, I should say is that, I think we should be pleased that we have this magnificent product, which customers use in an active fashion. We see a possibility of integrating that more and more closely in businesses and in web-shops. And that’s what we see and we see a very rapid development here. We are not worried, because we’re not making a lot of money on a short-term. This is a long-term initiative as all our other plans. This bank is not here to deliver results quarter by quarter on individual products. Now we’re looking at long-term and MobilePay is a great success for our customers. It’s a great success for us. And we’ll see how we’ll develop it in the future. It’s not a short-term initiative.
Thomas Borgen: Right. Thank you very much. Thank you for your interest.